Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the H.B. Fuller Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Steven Brazones. Please go ahead.
Steven Brazones: Thank you, operator. Welcome to H.B. Fuller's third quarter 2023 investor conference call. Presenting today are Celeste Mastin, President and Chief Executive Officer; and John Corkrean, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will have a question-and-answer session. Before we begin, let me remind everyone that our comments today will include references to certain non-GAAP financial measures. These measures are supplemental to the results determined in accordance with GAAP. We believe that these measures are useful to investors in understanding our operating performance and to compare our performance with other companies. Reconciliation of non-GAAP measures to the nearest GAAP measure are included in our earnings release. Unless otherwise noted comments about revenue refer to organic revenue and comments about EPS, EBITDA and profit margins refer to adjusted non-GAAP measures. We will also be making forward-looking statements during this call. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from these expectations due to factors covered in our earnings release, comments made during this call, and the risk factors detailed in our filings with the Securities and Exchange Commission, all of which are available on our website at investors.hbfuller.com. I will now turn the call over to Celeste Mastin. Celeste?
Celeste Mastin: Thank you, Steven, and welcome everyone. In the third quarter, we delivered a double-digit increase in adjusted EBITDA year-on-year and successfully drove adjusted EBITDA margin meaningfully higher. We achieved this despite weaker-than-expected volumes, driven by a more adverse customer destocking impact in Hygiene, Health, and Consumable Adhesives, and lower market demand in construction-related markets. Customer destocking actions have been temporarily detrimental to organic growth leading to volume declines in excess of underlying economic demand. While challenging in the short-term we are successfully managing through this highly unusual phenomenon taking actions that reduce our cost structure, while sustainably executing our price-to-value discipline, and leveraging our raw material scale. I am quite pleased that we were able to achieve double-digit growth in adjusted EBITDA in the current environment and without question the actions we are taking will continue to benefit our ability to grow adjusted EBITDA in 2024, and well into the future. Overall organic revenue declined 7.4% year-on-year in the third quarter with all GBUs experiencing lower volume versus the prior year. Overall, the sequential trend in volume largely followed the path we expected with the exception being the magnitude of volume impact in HHC. Customer destocking actions in EA and CA are largely complete and we believe they have peaked for HHC in the third quarter. Incremental volume development has been improving since the second quarter trough and we expect this to continue and meaningfully improve in the fourth quarter. From a profitability perspective, we overcame short-term volume challenges to achieve a 13% increase in adjusted EBITDA year-on-year and increased adjusted EBITDA margin 270 basis points year-over-year and 140 basis points sequentially from Q2 to 17.3%. The benefits from sustainable pricing discipline, proactive raw material cost management, and restructuring savings realization more than offset the detrimental impact from lower volume and drove the improvement in profitability in the third quarter. We also delivered another outstanding quarter from a cash flow perspective with cash flow from operations increasing $50 million year-on-year to $108 million, driven by strong profit growth and improved working capital performance. Now let me move on to review the performance in each of our segments in the third quarter. In HHC, organic revenue was down 10.5% year-on-year driven by HHC's customer destocking activity, which we estimate accounted for most of the decline in organic growth. Since the pandemic, most of HHC's customers held significantly higher inventories of raw materials to mitigate the risk of supply chain availability. This has created a very unique situation for channel inventory destocking in 2023 that is unprecedented historically and has led to volume declines for HHC that have never been experienced before. With that said, we know this to be temporary as underlying demand is stronger than our volume reflects, and we've also recently seen distributor buying patterns improve. Although underlying demand is down slightly given the current economic environment, we are encouraged by the trends in HHC. The team has been successful in gaining new business. This will become much more evident once the HHC customer destocking actions conclude. Adjusted EBITDA for HHC increased 12% year-on-year to $69 million, and adjusted EBITDA margin increased 270 basis points to 17.2%. This is quite impressive given the significant short-term volume challenges we have endured. Favorable price and raw material cost management and restructuring benefits drove the improvement year-on-year. In Engineering Adhesives, organic revenue declined 3.3% in the third quarter much improved versus the 9% decline in the previous quarter led by strength in China. Organic revenue declined due primarily to lower volume in construction-related end markets, which more than offset organic growth in the automotive, electronics, and solar market segments. Adjusted EBITDA in EA increased 26% year-on-year and adjusted EBITDA margin increased 450 basis points year-on-year to 19.3%. The improvement in profitability for EA was driven by favorable price and raw material actions and aggressive cost management. In Construction Adhesives, organic revenue declined 9.4% year-on-year, a marked improvement versus organic revenue declines of 26% in Q1 and 14% in Q2. Customer destocking impacts in CA continued to taper in the third quarter as expected and are largely complete now. However, end-market demand has weakened in construction-related end markets, and we would ascribe most of the organic revenue declines in the third quarter to end-market conditions. Adjusted EBITDA for CA was down modestly year-on-year and adjusted EBITDA margin of 14% was effectively flat as favorable price and raw material cost actions as well as restructuring benefits offset the impact of lower volume. The restructuring actions the CA team has executed position this business to deliver sustainably strong adjusted EBITDA margins consistently throughout the cycle. Geographically, Americas organic revenue was down 13% year-on-year. Customer destocking impacts in HHC which were notably outsized in North America relative to the rest of the world, adversely impacted the region's organic revenue development in the third quarter. In EIMEA, organic revenue declined 6% year-on-year, driven mostly by weaker demand in the construction and packaging-related market segments. In Asia-Pacific, organic revenue increased 7% year-on-year, driven by a rebound in demand in China in both EA and HHC. The organic sales trend for the region continued to improve as expected due to particular strength in the automotive, electronics, and hygiene market segments. From a global economic standpoint, conditions remain relatively weak. Accordingly, we have executed supplemental restructuring initiatives, which will increase our expected annualized pre-tax savings by approximately $10 million once fully implemented. On the M&A front, we recently acquired Sanglier Limited one of Europe's largest independently owned manufacturers and fillers of sprayable industrial adhesives. This complementary acquisition expands our innovation capabilities and product portfolio across the U.K. and Europe, particularly in the Construction Adhesives and Engineering Adhesives businesses. In addition, during the third quarter, we announced the restructuring of the recently acquired Beardow Adams business once completed this restructuring is expected to result in an ongoing annualized cost savings of approximately $20 million on a pre-tax basis. This is an addition to the restructuring initiative we announced in the first quarter. The majority of the restructuring charges and run rate cost savings associated with this restructuring are expected to be recognized in fiscal year 2024. The Beardow Adams restructuring benefit represents a significant portion of the fiscal 2025 EBITDA contribution from the 2023 collection of acquisitions, which we now expect to contribute approximately $60 million of incremental EBITDA by 2025. Lastly, I would like to inform you that the recent acquisition of Adhezion Biomedical is progressing exceptionally well and is on track for a record sales year. We have a well-defined plan for synergy realization and we are very excited about the future growth prospects of our medical adhesives business. Now let me turn the call over to John Corkrean to review our third quarter results in more detail and our outlook for 2023.
John Corkrean: Thank you, Celeste. I'll begin on slide seven with some additional financial details on the third quarter. For the quarter, revenue was down 4.3% versus the same period last year. Currency had a negative impact of 1.7%, and acquisitions positively impacted net revenue by 4.8%. Adjusting for those items organic revenue was down 7.4% with pricing having a favorable impact of 0.6% year-on-year in the quarter, and volume had a detrimental impact of 8% reflecting customer destocking impacts, particularly in HHC and a general slowdown in industrial demand. Adjusted gross profit margin was 30%, up 350 basis points versus last year as a net effect of pricing and raw material cost actions together with restructuring benefits, and general cost controls more than offset the impact of lower volume. Adjusted selling, general and administrative expense was up slightly year-over-year. Good cost management, growing restructuring benefits, lower variable compensation and favorable foreign currency impacts largely offset the incremental SG&A from acquisitions and inflation in wages and other costs. Adjusted EBITDA for the quarter of $156 million was up 13% year-on-year, and adjusted EBITDA margin increased to 17.3%, up 270 basis points compared to the third quarter of last year. This reflects proactive actions taken to optimize the price and raw material dynamics, as well as restructuring benefits and other cost savings measures. These actions combined with the contribution from accretive acquisitions more than offset lower volume, unfavorable foreign exchange, and wage and other inflation during the quarter. Adjusted earnings per share of $1.06 was flat versus the third quarter of 2022, as strong operating income growth was offset by significantly higher interest expense and unfavorable foreign currency. Higher interest expense and unfavorable foreign exchange negatively impacted adjusted EPS in the third quarter by approximately $0.17 and $0.05 respectively. Operating cash flow in the quarter improved significantly year-over-year as improving margins and lower net working capital requirements more than offset the impacts of lower volume, higher interest expense and unfavorable foreign currency translation. Third quarter and year-to-date cash flow from operations increased year-over-year by $50 million and $168 million respectively. With that, let me now turn to our guidance for the 2023 fiscal year. We now expect full-year net revenue for fiscal 2023 to be in the range of $3.5 billion to $3.55 billion, and taking into consideration the extra week in 2022, we now expect organic revenue to be down 4.5% to 5.5% versus fiscal 2022. This reflects lower than previously expected volume, due to a more significant destocking impact in HHC in Q3, and slightly weaker overall industrial demand conditions. Additionally, we now expect adjusted EBITDA to be $580 million to $590 million representing a 9% to 11% year-on-year increase. This reflects lower organic revenue expectations, offset by a more favorable pricing and raw material dynamic, additional cost reductions as well as the benefit of value-creating acquisitions completed this year. Furthermore, we now expect net interest expense to be approximately $135 million for the fiscal year, and the full-year adjusted effective tax rate to be between 27% and 28%. Combined these assumptions result in full year adjusted earnings per share in the range of $3.80 to $3.90. Also, we now expect full year capital expenditures to be approximately $125 million. Regarding savings from restructuring plans, we now expect actions from the previously announced and subsequently expanded strategic restructuring to generate between $40 million and $45 million in annual pre-tax run-rate cost savings, up from our original estimate of $30 million to $35 million. This is an addition to approximately $20 million of pre-tax run rate savings associated with the Beardow Adams integration which was announced during the third quarter. Now let me turn the call back over to Celeste to wrap us up.
Celeste Mastin: Thank you, John. Strategically, we are driving this business where we said we would, as evidenced by our gross profit and EBITDA margin performance demonstrating our confidence, and becoming a higher EBITDA margin company. We strive to be recognized as the imperative ingredient to our customers' success. We are committed to driving innovative solutions for our customers to create valuable, and sustainable solutions using drops, not trucks of adhesives. I would like to thank all of our H.B. Fuller team members around the world for delivering exceptional results in a challenging environment, and for leading the way as we transform our company into a higher growth, higher margin, higher ROIC business. That concludes our prepared remarks for today. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question will come from the line of Jeffrey Zekauskas with JPMorgan. Please go ahead. Jeffrey, you may be on mute. Our next question will come from the line of Patrick Cunningham with Citi. Please go ahead.
Patrick Cunningham: Hi, good morning.
Celeste Mastin: Good morning, Patrick. How are you?
Patrick Cunningham: Good. How are you?
Celeste Mastin: Good.
Patrick Cunningham: On the strategic M&A update, you know, you cited this $60 million figure up from the previous $50 million. Can you quantify how much of that is coming from the latest acquisition versus maybe there is better than expected in adhesion or other incremental synergies?
Celeste Mastin: Yes, it is a blend of both the impact of Sanglier, as well as better performance across the collection. We prefer not to quantify -- we prefer not to quantify how much, you know each particular acquisition brings to the blend, but it is composed of both.
Patrick Cunningham: Yeah. That makes sense. And then just you had the comment that you're encouraged by trends in HHC, and just underlying demand as well as share gains there. So, what end markets have the best underlying demand? And where are you gaining share? And where do you think any particular end markets, you'll see a restock in 2024?
Celeste Mastin: And when you say end markets, just for clarity are you talking about the segments within HHC, or are you talking more so about the different GBUs?
Patrick Cunningham: You know either of both, but typically, particularly within HHC.
Celeste Mastin: Okay, great. So within HHC, we are not in any of these businesses, I should just clarify. We are not planning for big restocking impacts. What we expect is we will progress through the destocking in HHC over the next two or three quarters and then we'll revert to, sort of, more normal demand that may be a couple of percent lower than what we normally would see in any given year. And we are experiencing some great wins with big consumer product companies, which are part of that space. We have seen a number of wins lately in the Hygiene space for example. And so we are going to -- you'll see strong performance there as well as taking share in a number of packaging applications in HHC. So HHC, you know, I have really a favorable outlook for that particular business. Again, we have got to work through the destocking. Now we are also experiencing some great wins in our other business units as well. In EA, for example, we just had a big win in fuselage airline sealants. So in the aerospace industry, as well as we continue to expand our position in the EV automotive market, a market that's growing very, very fast globally about 22% annually, and some nice wins in Technical Textiles, Harting Cables, PVC Edge Banding. So really we have a very fragmented space with these 30 different global market segments, and we're driving wins in all of them, particularly EA, and also seeing some big wins in HHC.
Patrick Cunningham: Very helpful. Thank you. I'll pass it on.
Operator: Your next question comes from the line of Ghansham Panjabi with Baird. Please go ahead.
Ghansham Panjabi: Hey guys. Hood morning. Hopefully, you can hear me okay?
Celeste Mastin: Good morning, Ghansham.
Ghansham Panjabi: Good morning, Celeste. You know, I guess in context of the 8% volume decline in 3Q. Can you sort of take us through the cadence throughout the quarter and what you're seeing thus far in September? And also EBITDA margins were up, I think 270 basis points year-over-year during the third quarter. Are you forecasting additional year-over-year margin expansion in 4Q? We are just trying to reconcile your guidance for the quarter.
Celeste Mastin: Right. Okay. So let's talk about the quarter and your question on volume declined month-over-month. So RP7 which was the first month of our quarter was much worse than the other two. So in P7, we saw really extreme destocking in our HHC business, but also our EA and CA businesses were down double-digit on volume in that month as well. We saw real inflection point for the EA business in particular come P8, and really experienced more flat volumes in EA, P8 and P9 and a lot of that was due to this rebound in China. So, we are seeing strong performance in China. In fact, when you look at China from Q1 to Q3, our volume has swung from a negative 15% roughly to a positive. So, I give the team in China a lot of credit to be nimble enough to handle operationally that shift in volume. And also we saw in the CA business also sort of some leveling off in the back end of the quarter. Your question around P10 really much, much more of the same. So we are really seeing HHC starting to settle out a little bit, but there's still destocking there. That's going to go on for a couple of quarters, however in EA and CA, I think this destocking is completed, and we are seeing much, much better volumes in P10 for both of those businesses.
John Corkrean: Maybe I can comment on the -- your question on margins, Ghansham. So, we are forecasting additional margin expansion in Q4. If you look at our guidance range, both for revenue and EBITDA that's what is reflected and we are seeing that so far in P10. We are seeing margins continue to expand. We would expect a bigger contribution from restructuring in Q4 than we've had the previous quarter. So something on the order of 100 basis points of margin expansion in the fourth quarter is more or less in line with our forecast.
Ghansham Panjabi: Got it. Thank you, John. And just obviously there has been more sequences of events, right, over the past couple of months increase in crude oil prices and we have auto strikes and that's not an insignificant market for your EA segment. How are you sort of think about these dynamics as we, especially on the cost side, cycling into fiscal year ‘24 in context of pricing starting to moderate reported plus 0.6% in the most recent quarter? And can you just give us any more variances to think about for fiscal year '24 that sort of underlying your confidence on EBITDA being up on a year-over-year basis?
Celeste Mastin: Yes. So a couple of things. First I'll just pick off the easy one on your point about the UAW. So if you look at our total sales only about 1% of H.B. Fuller's total sales are made to the big three automakers or suppliers of their -- one, two or three suppliers. So now that said, it's an important market for us. We are actually in the automotive space, much more prevalent in the EV vehicle market, which is growing much faster. So I'm certainly, we are watching that market closely, the big three, and what develops there, but I don't believe it will have a material impact on us in 2024. Now, I think your question around raw material cost and I'm going to relate price to that also is a really important one. So first, I would point out that our raw materials don't move with crude. So we monitor and buy about 4,000 different types of raw material and all of those have their own supply-demand position and what happens is when volumes down and we are a great indicator of global volume. So when our volumes down it tends to mean global volume is down across the industrial world and those 4,000 raw materials are much more influenced by those unique volume movements rather than what happens with crude. So the advantage for us in a market like this is given that we have so much scale in this industry, we have great opportunity to draw -- to leverage our volume and continue to optimize our purchasing positions with those suppliers. So, in a low-volume market, we will be pushing on suppliers and we'll get raw material advantage. We balance that out on the pricing side. So if you look at price for the next quarter and on into next year our pricing perform -- or pricing comparisons will be down. There's a few reasons for that. One is carryover will have been annualized from previous year when we had big increases in Q2 and Q3. Also, we've got some customers tied to indexes. Those indexes -- and those customers that have pricing tied to indexes have their price tied directly to the raw materials that we buy and put in their formula. So while it will look like pricing is coming down, it's really a margin preservation strategy for us. So you'll see a price, incremental price reduction because of that in the upcoming year and also the third thing being we are reformulating a lot of products right now where we can save money on raw materials where we are formulating our adhesives and we are sharing that savings with our customers. So, again you'll see price decrease when you look at a comparison, but margin preserved. So at the beginning of the year, I talked about this $130 million to $160 million bucket of value that we would get out of this balance between price and raw material movement. What you'll see is that in the first half of the year, a lot of that, what was related to price and in the second half of the year, we will be getting more tailwinds on raw material. So that's how the balance works and that's why we like to talk about it that way.
John Corkrean: And maybe Ghansham, I'll give a little more perspective on considerations for 2024 not getting too granular here because we are still in our planning process, but what Celeste described and kind of the price raw balance, it's been very consistent this year kind of in this $40 million to $45 million benefit each quarter. Now it's flipped between being more of a benefit from pricing to more of a benefit from raws, but we will carry that over next year and if raw material costs side allowed where they are, it will not be as big a benefit as it will be this year, but we'll see some benefit and we think it will be equal to or slightly greater than any price decreases. Obviously, the big -- some of the other big drivers are the restructuring impact will be much larger in 2024 than 2023. As we've said, it's -- we project $40 million to $45 million of run rate. We will probably capture about $10 million to $12 million this year. So you can kind of extrapolate the mid-point of that being kind of what we would experience in 2024 and then the contribution from acquisitions that we talked about $60 million by 2025, we'll probably be about $12 million this year. So again, you can probably, you sort of extrapolate that. The negative we would have is we do have a fairly sizable variable comp benefit this year. That's in the neighborhood of $30 million lower than last year, that will be rebuilt but given those we are projecting that it will be a continued challenged volume environment that's kind of what we are building our plans on. We don't expect to see nearly the impact from destocking in 2024 that we had in 2023, but those are the components that we are looking at they give us confident -- that we confidence we can deliver another profit growth year and what will likely be another challenging environment.
Ghansham Panjabi: Okay. Got it. Thanks so much.
Operator: Your next question comes from the line of Mike Harrison with Seaport Research Partners. Please go ahead.
Mike Harrison: Hi. Good morning.
Celeste Mastin: Good morning, Mike.
Mike Harrison: I was hoping that you could maybe give a little bit more detail on the increase in the restructuring expectations. I believe you are in the midst of an operational review that has maybe helped to increase that target. Just curious what stage is that operational review in? And do you have any sense of how much more savings could potentially be identified in the future?
Celeste Mastin: So, we are very early on Mike in the operational review that we are doing. Just to take a step back on that recall, we are in the process of identifying capacity utilization by product, by plant, by line, by region. We should have a complete assessment of that outlook, as well as how it relates to our future growth plans by the end of this year and following that we will be announcing steps we are going to be taking to optimize that footprint. So this is very early in and what you see in the updated restructuring is that we have identified there are additional plants that we can take out of the network. But again we are not completely through that analysis.
John Corkrean: And, I guess, I'll just comment, Mike, on the increase. We increased the range by $10 million. I think when we came out with our initial estimates of $30 million to $35 million, we said about two-thirds of that impact was related to manufacturing costs and about a third related to SG&A. We did increase the number of anticipated plant closures, we had talked about two plant closures after Q1. We now have eight that are planned. They are small, but they do have an impact. But I would say the recently announced changes to restructuring savings estimates, actually a little more weighted to SG&A. So this sort of second round we went through, we focused in more on SG&A where we had potential redundancies opportunities to reduce costs given lower volume. And so the balance now might be 60% manufacturing cost, 40% SG&A. But I think what Celeste alluded to is, I think there's more opportunity in the manufacturing footprint and supply we will be focused on here in the near term.
Mike Harrison: All right. Perfect. And then my other question is on the M&A front that you've done several acquisitions now, with the exception of Beardow. I think most of them are relatively small, but just curious at what point do you start to worry about reaching capacity? I'm trying to integrate too many things at once. Obviously, you've got 30 different market segments and three GBUs that you work on and not all of them were in the same markets. But, how do you think about integration and your capacity to integrate as a bigger company?
Celeste Mastin: I feel good about it, Mike. So we have focused our M&A and capital allocation activities around our top 25 growth opportunities and we continue to update that list every year. Within that list there's a lot of opportunities to expand and grow the business and we end up getting a lot of different market segments involved in doing so. So when we do an acquisition from the very beginning we assign an integration leader during due diligence. That integration leader participates in diligence and that embedded knowledge is very instructive as we work through the integration process. Now as we integrate we primarily use people from within the business that did the acquisition. And so when you think about it, we have integrations going on in different regions managed by different people or being performed by different people in different businesses concurrently. We are very careful as we look at our pipeline. We would not double up on a region and a business for an acquisition if we felt like we would not have the people, the resources to place against that. And the good news is we have lots of other targets, lots of other places where we can acquire and drive high EBITDA margin and high growth rates. So I think it will be a long time, Mike before we get to the point where we are really ever saturated with integration activity, particularly because we are integrating these businesses fully within two or three years.
Mike Harrison: All right. Sounds good. Thank you very much.
Celeste Mastin: Thank you.
Operator: Your next question comes from the line of Vincent Anderson with Stifel. Please go ahead.
Vincent Anderson: Yes, thanks. So Celeste, I just wanted to spend maybe a bit more time on the cost saving side, if that's okay. It sounds like the savings are more around footprint consolidation versus site-specific cost out. If that's, so, just can you help me get comfortable handicapping your expectations on the manufacturing cost savings prior to completing your review. And then just the part B to that. Are these initiatives being paired with the inventory management changes that we can expect incremental cash return on those savings?
Celeste Mastin: So what we have described in the restructuring actions Vincent, and good morning by the way. What we described in the restructuring actions is more so footprint-related. However, we have actions underway within the businesses today to optimize our shift load to drive productivity improvement in the plants. So there's a lot of cost saving effort underway that would impact conversion cost, that's happening already. We are just not -- we are not talking about it in the form of a restructuring. And, yes, you're right. We do have work ongoing as it relates also to the supply chain. We are adding capabilities that will allow us to more analytically manage in particular our inventory levels. We have started down a path. We've made an -- we have acquired some, some software to do that and we actually are piloting that activity as we speak at six of our facilities. So, yes, those efforts are proceeding in parallel and not just focused around the footprint.
Vincent Anderson: Okay. All right, that's helpful. And you touched on both of my next questions. So I'm trying to pick which one to start with. But, all right, so you mostly answered this one which was along the lines of, do you feel like H.B. Fuller is already leveraging best-in-class analytical system available for procurement, inventory management? But maybe taking that a step further, I mean the pricing and the procurement systems were really kind of formalized after the 2019 restructuring. So same question, is there more that could be investigated there?
Celeste Mastin: So we have an excellent pricing system, pricing team and pricing methodology. And I think I've mentioned before that, that I'm on a call with our pricing group every two weeks. So it's definitely an area of focus. And what I'll say is that every two weeks something new comes out of that right. We expand our capabilities. We focus on some other reporting that we could do. We identify strategies for price increases in parts of the portfolio and is not just myself. I get to see the outcome of the work that's going on with that pricing team and in concert with the GBUs. And so we are never going to be satisfied that we are perfect pricers. We continue to work on what I think is already an excellent capability and continue to make it better. And one of the things that is a very important part of that is the technology leverage right not just in pricing systems, but ensuring that we are pricing to the value that our customers are experiencing. So, you know pricing sort of the last thing to happen. The first thing that happens is understanding our customers' needs, knowing how they use our product, understanding their goals, really driving innovation around bringing a solution that matters to them and that we can be paid for. So pricing, we are never going to be done and we are going to continue to capture value there. And similarly, our procurement system, you're right that -- we have a great team that's been in place for quite some time now, and we continue to leverage our scale successfully in these multiple raw material segments that we participate in. And each one of them is different. It's very interesting.
Vincent Anderson: Sure. All right. That's helpful. All right. So, last one. You talked a bit about this. It sounds like a lot of it's still kind of to be determined through the end of the year. But a lot of your non-U.S. sites, at least appear to be running fewer technologies on a per-site basis than what we see with your, kind of legacy U.S. assets. So as I think to your growth strategy you've been globalizing a lot of U.S.-developed products to buy rather than build. Are there opportunities to get more leverage out of the non-US sites where the footprint and staffing might be underutilized? And is any of that in your current savings target, or is that more related to again kind of your growth strategy?
Celeste Mastin: That again will be addressed as we look at our global footprint. Our -- so when you look at our plant base well over half of those plants serve multiple GBUs and you're right most of them are technology-based probably two or three different types of technology that they will be focused on. Our intention is not to have big mega sites. We want to continue to produce close to our customer, and there is a value in doing that. We just need to make sure that again when we look at the business capacity utilization by technology that, where there is redundancy that's unnecessary that we can remove it.
Vincent Anderson: Okay.
Celeste Mastin: Did I answer your question, Vincent?
Vincent Anderson: Yes, yes. I might try again in six months. But, yeah.
Celeste Mastin: Okay, okay.
Vincent Anderson: That's it from me. Thank you.
Operator: Your next question comes from the line of David Begleiter with Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Good morning.
Celeste Mastin: Good morning, David.
David Begleiter: Good morning. Celeste and John, your Q4 guidance implies a pretty steep ramp from Q3. Can you give us some color on the various drivers and buckets how much from price cost? How much from cost savings? How much from volume and normalized operations to drive that ramp?
John Corkrean: Yes, I think the biggest driver is the momentum we are seeing from raw material savings, and I think we have done a good, really good job managing pricing. So as I said, the -- it's been very consistently kind of $40 million to $45 million of savings per quarter between the two and we would expect a similar number in Q4 on better volume performance. Right, so those are the major drivers, and we would -- the impact from restructuring and acquisitions will be more in Q4 than it has been in any of the other quarters, maybe close to double based just on the timing of the acquisitions, and the ramping up of restructuring. So those are the things that would drive this ramp. Now we also, I would say have an easier comparison in Q1 through Q3 as it relates to the macroenvironment that we were facing in Q4 last year versus the previous quarter. So the growth rates are in part a reflection of easier comparison, but it's more of those things that I talked about the timing on raws, management of pricing, improving volume and ramping up of restructuring savings, and acquisition impact.
David Begleiter: And John, how that $40 million to $45 million price cost tailwind, how much of that is locked in? I presume pricing is locked in and I presume most of raw material costs are locked in as well. Is that fair?
John Corkrean: Yes. I think that's fair. I mean, I think everything is a little bit, particularly on the raw material side on a lag, right because it's the products that we purchased in Q2 were really the ones that impacted our P&L in Q3. So, if you think about what's a Q4 impact, it's really materials that we have already purchased and pricing. We do have quarterly resets on our formula-based pricing, but we have -- those are based on the previous quarter's raw material costs. So, we do have pretty good visibility on that as well.
David Begleiter: Great. And just last thing in ‘24 on a non-formula-based products which I know it will be down. Do you expect pricing to be down on the other portion of the business, the negotiated portion of the business?
Celeste Mastin: Well, again we will, because there will be plenty of reformulated products that we introduced to customers that are at a lower price to the customer while still being margin-preserving for us. So there's a lot of activity, David, right now underway to reformulate and provide savings to customers given the weak volume demand that's out there. Now, some customers will take advantage of that and some won't. Again, we are a very small part of our customers' end product and very enabling. There may be cases certainly where we are introducing higher priced products that bring overall total savings to them by allowing them to use a different substrate or run their line faster. So it's a bit of a mixed bag, but I think that the overall movement in price will be flat to incrementally lower for all of those reasons.
David Begleiter: Understood. Thank you very much.
Operator: Your next question will come from the line of Jeffrey Zekauskas with JPMorgan. Please go ahead.
Jeffrey Zekauskas: Thanks very much.
Celeste Mastin: Good morning, Jeff.
Jeffrey Zekauskas: Hi, good morning. Did you reiterate your cash flow guidance for the year of 350 or no?
John Corkrean: We didn't reiterate it, but it remains intact.
Jeffrey Zekauskas: So you just reiterated it. Is that what you just said?
John Corkrean: I guess, I think we can say we just reiterated it.
Jeffrey Zekauskas: Okay.
John Corkrean: And we feel good about cash flow. It's -- we had another strong quarter as expected and everything is lining up to be in line with the guidance we gave in Q2.
Jeffrey Zekauskas: Okay, great. So you've spent $195 million on acquisitions so far. Exclusive of the costs that you might take out or the synergies that you might achieve what's the annual EBITDA of that $195 million in spending? And what are the annual revenues, roughly?
John Corkrean: So this year we will recognize approximately $100 million of revenue for these acquisitions and roughly $12 million of EBITDA, and it's -- I would say that is roughly reflective of half a year's worth of contribution. Because we acquired them over the course of this year. So you can kind of double those numbers and get to what we are -- what we have acquired for the amount we spent. Now there's a little bit of synergy in that, that we are getting this year. So, maybe the number is not 24, it's 18% to 20%, and then our synergies add another 4% to 6%. So, does that answer your question, Jeff?
Jeffrey Zekauskas: Yeah, it does. Your non-recurring charges this quarter were about $0.36. I was listening to your answers to some previous questions. Did you effectively say that your non-recurring charges in the fourth quarter would be double that, or about $0.72?
John Corkrean: No, I think that -- and I kind of look at it on a pre-tax basis, and as of the end of the third quarter the non-recurring charges were about $40 million. Some of those were, won't be repeating. We had an earn-out related to an acquisition we did last year, which is a payment we made because the business is performing better than our deal model reflected, which is a good thing. And we are -- but we are seeing the impact of these restructuring-related charges and the integration cost for these acquisitions. I would expect that the fourth quarter -- for the full year these non-recurring charges will be around $55 million to $60 million on a pre-tax basis and the other thing we had going on in Q3 which made that number a little larger was a fairly large discrete tax item related to settling some old tax audits. So we are not anticipating that repeating in Q4.
Jeffrey Zekauskas: In the Engineering segment, your EBITDA went up about $10 million sequentially even though your revenues were flat. Is that raw material benefits or something else?
John Corkrean: So a couple of things going on there, yes. Raw material benefits are ramping in all three GBUs and that is impacting EA as well. The other thing is the mix was very favorable in Q3 relative to the first two quarters as the performance of electronics and automotive continued -- automotive continues to be very strong. Electronics improved significantly in Q3. Some of that is this China effect. So I would attribute, half of it to raw material trends and the other half to the growth in the higher margin parts of the business.
Jeffrey Zekauskas: And then lastly, Celeste do you plan to buy anything in the fourth quarter of any size?
Celeste Mastin: We are constantly rebuilding our pipeline, Jeff it's a real focus area for us. So I never want to say, I'm going to do a deal until it's done.
Jeffrey Zekauskas: But you are working?
Celeste Mastin: We are always working. We are always working on the pipeline and there's a lot of opportunities that we find to invest in those top 25 growth opportunities for the business. We have 30 market segment leaders that are desirous of growing their business. They're encouraged and incentivized to grow their business and they've recognized that one of the ways that they can fill some of these most critical needs is through M&A. So, yes, so we have a strong pipeline and we will continue to work that, those deals to close many quarters to come.
Jeffrey Zekauskas: Okay. Thank you so much.
Operator: I think we have no further questions at this time. I'll hand the call back to Celeste Mastin for any closing remarks.
Celeste Mastin: Thanks, everyone for joining us this morning. We appreciate your time. Have a great day.
Operator: Everyone, that will conclude today's meeting. We thank you all for joining and you may now disconnect.